Operator: (Operator Instructions) Welcome to the Titan Machinery, Inc. Fiscal First Quarter 2009 Financial Results Conference Call. I would now like to turn the conference over to John Mills of ICR.
John Mills: Welcome to Titan Machinery First Quarter Conference Call. On the call today from the company are David Meyer, Chairman and Chief Executive Officer and Peter Christianson, President and Chief Financial Officer. By now everyone should have access to the first quarter earnings release for the period ending April 30, 2008, which went out this morning at approximately 6:00 am Eastern time. If you have not received the release it is available on the Investor Relations portion of Titan’s website at TitanMachinery.com. This call is being webcast and a replay will be available on the company’s website as well. Before we begin we’d like to remind everyone that the prepared remarks contain forward looking statements and management may make additional forward looking statements in response to your questions. These statements do not guarantee future performance, and therefore undue reliance should not be placed upon them. These statements are based on current expectations of management and involve inherent risks and uncertainties including those identified in the risk factors section of Titan's most recently filed 10-K. These risk factors contains a more detailed discussion of the factors that could cause actual results to differ materially from those projected in any forward looking statements. Titan assumes no obligation to update any forward looking projections that may be made in today's release or call. With that I'd like to turn the call over to the company's Chairman and CEO, Mr. David Meyer.
David Meyer: On today’s call I will provide some highlights of our first quarter results, a general update on the market in which we are currently operating and discuss some of our recent acquisitions. Then Peter will review the financial results for the quarter in more detail and discuss our full year guidance. I will then provide some closing remarks and we will open up the call to take your questions. I am pleased to report a solid start for the year for Titan Machinery. Revenue for the first quarter increased to $153 million from $80 million in the prior year period reflecting our organic growth and growth through acquisitions. Our first quarter gross profit grew to $25 million compared to $13 million in the same quarter one year ago and our pre-tax income was $5.7 million versus $1.3 million last year. This presents a pre-tax margin increase to a 3.7% from 1.6%. Each of our main revenue sources; equipment, parts and services contributed to the revenue and profit increases. Notably a higher margin parts and services business provided approximately 20% of our revenue but almost half of our total gross profit for the quarter. Our parts and service business is a very strong recurring revenue and cash flow aspect to our business model. Weather in the first quarter was a contributor to our strong parts and service business it delayed planning an extra few weeks which gave our customers more opportunity to invest in our equipment. In the early part of the second quarter favorable weather allowed farmers to catch up on the planting season putting them on track with their annual production cycle. In addition we are continuing to see an overall strong agricultural economy. As an example, RJ Agricultural Equipment sales for the overall industry in North America including high horsepower tractors and combines were up between 20% to 35% year to date through April. To ensure that we are well positioned financially to capitalize on the current economy and maximize our long term growth potential we recently completed a follow-on offering and we plan to use the proceeds from the offering to further improve our balance sheet, fund future acquisitions and for general corporate purposes. As we discussed on our last call we continue to see an excellent pipeline for acquisitions. In fiscal 2009 to date we have closed three acquisitions consisting of eight stores with historical revenues of $74 million. This brings our total store count to 48. Let me now briefly discuss our new stores and how they fit into the Titan Machinery network. In February we acquired Ceres Equipment a farm equipment dealership in Roseau, Minnesota adding to our existing position in the Minnesota market. We also acquired Quad County Implement a farm dealership in Blairstown, Iowa. This dealership is strategically located in contiguous markets to two of our existing stores in Iowa and near some of the most productive farmland in the state. Lastly, we recently closed on the acquisition of Mid-Land Equipment Company which consists of six Case Construction Equipment dealerships, four in Iowa and two in Nebraska. These dealerships are contiguous to existing Case Construction stores in South Dakota and strategically overlay our nine agricultural stores in Iowa and mark our entrance into Nebraska our fifth state we now operate in. This acquisition meaningfully increases our presence in the construction market and further strengthens the Titan Machinery brand. We have a strong track record of integrating our new acquired stores retaining acquired stores employees and continuing acquired store customer relationships. We know that this is a critical component in the overall success of Titan Machinery’s business model and we are well positioned to continue to capitalize on this aspect of our business. We believe that we have only begun to realize our potential. The time is right for consolidation in our industry and we’re one of the few players out there with the scale, resources and experience to capitalize on this long term opportunity. With that I would like to now turn the call over to Peter to review our first quarter financial results and discuss our full year guidance.
Peter Christianson: Our total revenue for the first quarter ended April 30, 2008, was $153 million. It was primarily made up of the following three sources; revenue from equipment sales increased to $121 million from $61 million in the first quarter last year. Our parts sales increased to $22 million in the quarter compared to $12 million in the same period a year ago. Revenue generated from our services business increased to $9 million versus $5 million last year. This gives us a sales mix of approximately 80% for equipment and 20% for the after sales support parts and service portion of our business which is reflective of the strong AG economy we are experiencing. Our same store sales increased 37% for the first quarter. As a reminder when you look at same store sales we know that it is an important metric but it’s equally important to remember sales mix is a very important driver of profitability as our parts and services business generally drives a higher margin than equipment sales. In the current AG economy we expect same store sales to be driven by a higher percentage of our revenue coming from big ticket equipment purchases. If the AG economy were not as strong we would see a greater percentage of our revenue stream coming from our after sales parts and services business which generates significantly higher margins. In short, while our same stores sales and revenue growth may be impacted by a slow down in AG economy our diversified revenue stream enables us to be profitable in both weak and strong environments. With that said our gross profit for the quarter increased to $25 million with gross margin of 16.1% compared to gross profit of $13 million with the same gross margin of 16.1% a year ago. Our operating expenses as a percent of net sales were 11.9% in the first quarter versus 12.6% in the first quarter of the prior year. This improvement in operating expenses as a percent of revenue was primarily to higher revenue in equipment, parts and service. Our operating income was $6.4 million with an operating margin of 4.2% versus $2.8 million and an operating margin of 3.5% in the first quarter last year. Net income for the first quarter was $3.4 million or $0.24 per diluted share compared to net income in the first quarter of last year of $772,000 or $0.12 per diluted share. Our weighted average fully diluted shares outstanding for this quarter was $13.9 million compared to $7 million in the first quarter of last year. On our balance sheet our inventories totaled $142 million at the end of the first quarter down slightly from $147 million at the end of our last fiscal year. We believe our inventory and access to inventory position us well to support our annual sales growth and revenue outlook. At the end of the first quarter we had no subordinated debt compared to $1.3 million of subordinated debt on January 31, 2008. Now I’d like to spend a moment discussing our recently completed follow-on offering. Titan Machinery offered approximately 4.2 million new shares at $20 per share which represented net proceeds of approximately $79 million to Titan. Combining our net proceeds with our cash position at the end of the first quarter we currently have a pro-forma cash balance of approximately $120 million to pursue future acquisitions and fund working capital and general corporate purposes. Now turning to our outlook, as a reminder our policy on guidance is that we will give annual revenue and earnings per share guidance on our fourth quarter call and update if necessary in subsequent quarters. It’s also important to remember that we evaluate our financial performance based on our customer’s annual production cycles as opposed to a quarterly basis due to weather fluctuations and the seasonal nature of our business. Based on this criteria for the full fiscal year of 2009 we are raising our revenue outlook to a range of $575 million to $625 million compared to our previously issued guidance range of $550 million to $600 million. For modeling purposes its worth noting that our strong first quarter benefit from a number of factors including weather conditions in our markets which delayed planning and therefore may have allowed customers to increase their equipment, parts and service purchases compared to a more normalized first quarter. Having been in the business for over 25 years and understanding the potential quarterly changes this is a great example of why we always point out that it’s important to evaluate our business on an annual basis as opposed to a quarterly basis. Now turning to our earnings per diluted share guidance its important to note that our weighted average diluted shares outstanding used for calculating earnings per diluted share for fiscal year ending January 31, 2009, will increase from approximately $13.8 million to approximately $16.9 million due to the recent follow-on offering. We’re raising our net income expectation to a range of $14.6 million to $15.5 million from a previous range of $12 million to $12.7 million. We’re raising our earnings per share guidance from $0.77 to $0.82 that’s adjusted for the impact of the follow-on offering. It will be raised to $0.86 to $0.91 range. Now I’d like to turn the call back over to David for closing comments. David Meyer We are pleased with our results for the first quarter and are confident we can continue to have success through both organic growth and strategic acquisitions. We will remain keenly focused on the opportunity we have and work diligently to achieve our full potential and maximize long term shareholder value. Before we take your questions I’d like to conclude by thanking our employees for all their hard work and thanking our valued customers for their continued support. Operator we are now ready for the question and answer portion of the call.
Operator: (Operator Instructions) Your first question comes from Bob Evans - Craig-Hallum Capital.
Bob Evans - Craig-Hallum Capital: Can you comment a little further in terms of your product availability, give us a little color, I know you’re coming up on a model change over how do you feel in terms of your inventory and your availability of the new product.
David Meyer: Right now you can see we’ve got over $140 million on hand right now so we’ve positioned ourselves to be in good shape. We’ve been diligent in going out and booking some pre-sales and we also have some order slots in the system and we’re working hard right now and we’re picking up order slots in the fourth quarter field daily. We’re really focused on this thing and right now we’re working hand in hand with CNH and right now it appears we’ve got the inventory we need to hit our expectations for this year.
Bob Evans - Craig-Hallum Capital: Obviously there’s been a lot of flooding in Iowa and I’ve certainly gotten a lot of questions about that and impact on potentially your business. Can you give us a little bit of color on that and how things might be impacted?
David Meyer: The biggest impact you’re going to see on the Iowa is actually in the towns itself. Our dealerships in the towns, the three that are mostly affected are going to be Waverly, Blairstown and Grundy Center. We’re high and dry and our dealerships are there and employees are able to get to work. It’s mostly the Eastern part of Iowa. If you look at some of the statistics I know that Iowa Secretary of Agriculture, Bill Northey, it looks like there’s 2% of the corn hasn’t been planted and they think they’re going to lose about 7% so you’re right around the 9% number on corn. On soy beans there’s about 14% of the Iowa crops not planted and another 6% that’s been lost to flooding. With beans there is still time to replant beans you’re just probably not looking at your full yield potential. If you take our stores on the Western part of Iowa actually they’re crops are looking pretty good right now. They’re going into this year a little bit dry. If you look at the geographical diversification for our entire stores right now you take towns in Aberdeen, South Dakota and Watertown, South Dakota, Huron, Redfield, our North Dakota stores, the whole part of Western North Dakota we were looking forward to this rain. If you take this whole dimension of the geographic diversification we have we have wet areas in one part of the country, basically other people are looking for this rain. Not to mention all the corn just went over $7.00 last week because of this. The construction stores, the Mid-Land Equipment stores and the construction equipment are actually going to benefit from this other than we don’t like to see anybody have a tragedy out there we’re actually going to gain from the wet conditions in Iowa. Overall I’d say with the high commodity prices the good favorable conditions we’re seeing for the higher percentage of our territory we’ve only got about three stores out of 48 that are really impacted by this wet weather.
Bob Evans - Craig-Hallum Capital: Can you comment further on the acquisition pipeline in terms, are you focusing more on smaller dealerships where its maybe one or two dealers or larger opportunities that can give us a little color in terms of just opportunities you’re seeing?
David Meyer: Basically all of the above, we’ve got some single ones; two type stores we’re looking at. We have some of these mid size; I call them hub and spoke groups. It is very robust right now. There’s a lot of play going around on acquisitions. I have a lot of interest in people, we’re working closely with some and we’re optimistic you’re going to see some really favorable things here for the balance of the year on acquisitions.
Operator: Your next question comes from Chris Weltzer – Robert W. Baird.
Chris Weltzer – Robert W. Baird: I wanted to clarify your comments on the later planting season and the impact of seasonality. It sounded like you were saying because of the light planting season people may have ordered extra parts, service or equipment this quarter that maybe normally would have fallen into next quarter?
David Meyer: I wouldn’t necessarily say normally would have fallen. What they did it was an extended planning season so they’re right in the middle of things, it gives them more time to keep buying things because its on their mind, they have time to see if they’ve got some rain delays so they keep doing. When you have one of those real quick planning seasons, they get out, they plant, they’re done, they put the machinery away and they’re done with it. A normal thing that happens is along they are going they are finding more opportunities for more things they’re fighting the weather so they’re just spending some more money and its usually advantageous to our business.
Chris Weltzer – Robert W. Baird: Its not like they’re pulling demand forward, dealers just have more time to sell.
David Meyer: No, because now you get into the next quarter now they’re looking on to their harvest season, looking on to their combine, they’re getting their combines ready to go. You’re going into a whole different cycle now. It just gave us a little more business out of that spring planning cycle.
Chris Weltzer – Robert W. Baird: Are you anticipating any material costs from the secondary offering like you have for the IPO?
Peter Christianson: Not really material. There are the normal costs associated with a follow-on offering estimated $500,000.
Chris Weltzer – Robert W. Baird: That’s included in your guidance?
Peter Christianson: Yes, we have that included.
Chris Weltzer – Robert W. Baird: Have you seen CNH talk about or put in place any interim pricing actions to help offset the rising cost of steel?
David Meyer: What CNH has done is they’ve announced a 5% steel surcharge, on the large tractors and combines part of the business. That’s in place right now.
Chris Weltzer – Robert W. Baird: That’s in place for even things you’ve already put an order in for?
David Meyer: What’s happened is equipment, anything that gets sold through; they’ve given us some time to protect our orders and have the orders in the system and the equipment actually on the ground. What you’re looking at is this is multi-pass through business so it just gets added on to the price. Anything that we had sold prior to the steel surcharge, anything that we had on the ground prior to the steel surcharge they did give us some time to pre-sell some orders that would waive the surcharge. They were real up front with that and gave us ample time in order to protect ourselves and the people that were right in front of us. This is more on the equipment that we’re going to selling after the first of July but this was pre-sold and it was price protected and it will be waived the surcharge. It is a pass through type increase.
Chris Weltzer – Robert W. Baird: Sure but it obviously helps your revenue. One last question, you had a large jump in customer deposits this quarter have you changed some of your methods or requirements for customers placing orders or is that just a function of a lot of people ordering now for delivery farther out in the future?
Peter Christianson: We had a strong quarter, you can see on our sales increases and really it’s just reflective of increased activity.
Operator: Your next question comes from Scott Mackey – AD Capital.
Scott Mackey – AD Capital: I think that you probably gave this in your remarks and I apologize if I missed it. Could you tell me what the same store sales were for the quarter?
Peter Christianson: 37%
Scott Mackey – AD Capital: In your revenue guidance what sort of same store sales growth are you forecasting?
Peter Christianson: Historically we’ve modeled our business on a 5% same store sales.
Scott Mackey – AD Capital: So your guidance incorporates both including the first quarter same store sales growth plus the Case price increases you’re still talking about 5% same store sales growth in fiscal year ’09?
Peter Christianson: We don’t ever model our business toward the high side of the market and although we’ve experienced a really strong first quarter we pretty much have flowed that through in our annual guidance you’ll see that and we’ve modeled the long term guidance on 5% same store sales.
Scott Mackey – AD Capital: A similar question just to get an understanding of what you’re assuming in your guidance for gross profit margins.
Peter Christianson: We really haven’t guided on gross profit margins. What’s I’ve done is given the revenue range and then broken that down into our net income and earnings per share.
Scott Mackey – AD Capital: I want to make sure that I understand what you’re saying about the price increases and backlog protection. If I ordered a tractor on April 1st and its set for delivery in September then I am still subject to that price increase because I’m taking delivery after July 1st is that a fair understanding?
David Meyer: Let’s break this into ’08 and ’09 productions. If it’s a ’08 production then that would be at the price on April 1st less the surcharge.
Scott Mackey – AD Capital: So I’m still going to pay the surcharge?
David Meyer: No you’re not. We would waive the surcharge.
Scott Mackey – AD Capital: So it is a backlog protected price increase.
David Meyer: It is backlog protect on the ’08 models. It’s pretty detailed and there are a lot of scenarios. For the most part it’s a competitive marketplace out there and CNH wants to maximize their shares so they’re very sensitive to this and they gave us ample time to protect our orders.
Scott Mackey – AD Capital: I know that in previous quarters you have had some promotional programs which have worked out very well. I’m looking at industry unit sales data for what would correspond with your quarter and certainly it looks like you guys outpaced the industry by a wide margin. I’m curious if there are any other promotional programs during the quarter that helped these sales?
David Meyer: I’ve seen fairly consistent programming and pricing from CNH, it’s been pretty consistent. There haven’t been any big blurbs there.
Scott Mackey – AD Capital: The business by and large is agricultural equipment but the most recent Mid-Land Construction Equipment, I was just wondering if you could walk us through the key differences to the extent there are any in terms of gross profit margins on the construction equipment relative to the AG equipment and then if you could talk a little about the underlying growth rates of the two businesses one versus the other.
Peter Christianson: We don’t report separately on our gross profits or gross margins between the construction and agricultural businesses. We operate them very similar with the large equipment purchases and the after sales parts and services and we just include those as part of our entire store mix. We are really excited about the acquisition that we made they overlay our agricultural stores down in that area and are adjacent to the other states that we’re operating in.
Scott Mackey – AD Capital: The underlying growth rates of the construction equipment relative to the agricultural equipment?
David Meyer: We model our businesses on 5% same store sales long term and sometimes the economy can be stronger than that and then I guess we’re report strong and that’s what we’re most comfortable with.
Operator: Your next question comes from Rick Nelson – Stephens Inc.
Rick Nelson – Stephens Inc: Can you talk about the acquisition pipeline pricing that you’re looking at and given the strength of the AG market why do people want to sell their dealerships at this time?
David Meyer: If you look at the whole pricing, go back historically I think both our last two that we’ve done the Ceres Equipment and Blairstown they were very economical and we didn’t see any big change over our historical acquisitions on those. What you’re mostly looking at right now is that it’s pretty fragmented industry, it’s an age industry of current principles, there is [inaudible] it comes into play here. If you look at the age of some of the last acquisitions we did you look at individual 65 years old, 70 years old and 72 years old. They are looking; they don’t have an immediate succession right there. If they look at the best interest of their customers and employees this is something Titan can bring to the table. I think our track record of acquiring stores we’ve got great testimonials out there. We’re in the win, win solutions and that’s what we’re bringing to the table. Right now the time is right for a lot of these individuals to go to the next stage in their retirement part of their life.
Rick Nelson – Stephens Inc: How quick do you think you can deploy that $120 million in cash?
David Meyer: We’ve got our long term pipeline acquisitions here. I’ve got a definite three years of acquisitions right on the table. That can take us quite a ways. When we did this follow-on offering we’ve got no timeline on this but we think we’ve got an easy billion dollar opportunity out there just right in front of us with the acquisitions that are on the table right now today.
Rick Nelson – Stephens Inc: I just wanted to also follow up on the same store growth 37% for the quarter. How did that break out by segment? I take it equipment sales were the big driver but how did the other business segments fair during the quarter?
Peter Christianson: We don’t report that individually but I could tell you that it was strong all the way around and that’s why if you look at our previous revenue and our mix between our equipment sales and our after sales products support at 80/20. That remained the same, its still at the 80/20. You can tell that this thing was strong basically in all revenue categories.
Rick Nelson – Stephens Inc: Pre-sales as a percent of the mix can you give us an idea of what that accounts for?
Peter Christianson: We don’t break that out individually but like David said we’ve got our people out in the field here where we understand that there’s a robust economy and it’s in our best interest of our customers for them to do these pre-sales. Like David talked about on the steel surcharges the people that had it locked in ahead of time they’re able to bypass that and we’re actively after it.
Operator: Your next question comes from Eric Marshall – Hodges Capital.
Eric Marshall – Hodges Capital: Following up on the previous question of the same store sales increase that you had did you say it was 37%? I was wondering if you could break out how much of that was tied to price increases.
Peter Christianson: Correct. We don’t break that out on an annual basis I think the industry has been experiencing about a 5%. That can vary within different areas between the after sales parts support and equipment but on average you’re pretty close when you look at the industry numbers.
Operator: Your next question comes from Bob Evans - Craig-Hallum Capital.
Bob Evans - Craig-Hallum Capital: Can you comment on seasonality since we all don’t have the history in terms of your business? How should we think about Q2 versus Q1 from the seasonal standpoint?
Peter Christianson: First I’d quickly point out that we give annual guidance because our customers have an annual production cycle and we want to stay looking at our business the way that they look at their business. Historically if there was seasonality it would be probably with the last two quarters, the third and fourth quarter being just a hair stronger than the first two quarters. Basically that has to do with their production cycle where they’re getting their crop harvested off, they know how many bushels yield they have and they’ve had a pricing opportunity and so it matches up with them and also their year end tax planning that plays into it as well. First two quarters are good quarters but the final two quarters are probably just a hair stronger.
Operator: There are no further questions in the queue at this time I would now like to turn it back to Mr. David Meyer for any closing remarks.
David Meyer: I want to thank everybody for your participation today and we look forward to sharing our progress with you next quarter. Have a good day. This concludes our call.
Operator: Thank you ladies and gentlemen this concludes the Titan Machinery Inc. Fiscal First Quarter 2009 Financial Results Conference Call. Thank you for your participation you may now disconnect.